Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Banner Corporation’s fourth quarter 2011 and year-end results conference call. [Operator Instructions] This conference is being recorded today, January 26, 2012. And I would now like to turn the conference over to Mark Grescovich, President and CEO of Banner Corporation. Please go ahead, sir. 
Mark Grescovich: Thank you, Douglas, and good morning everyone. I would also like to welcome you to the fourth quarter and full year earnings call for Banner Corporation. Joining me on the call today is Rick Barton, our Credit Officer; Lloyd Baker, our Chief Financial Officer; and Albert Marshall, the Secretary of the Corporation.
 Albert, would you please read our forward-looking Safe Harbor statement. 
Albert Marshall: Certainly. Good morning. Our presentation today discusses Banner's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives, or goals for future operations, products or services, forecast of financial or other performing measures, and statements about Banner's general outlook for economic and other conditions.
 We also may make other forward-looking statements in the question-and-answer period following management's discussion. These forward-looking statements are subject to a number of risks and uncertainties, and actual results may differ materially from those discussed today.
 Information on the risk factors that could cause actual results to differ are available from the earnings press release that was released yesterday and a recently filed Form 10-Q for the quarter ended September 30, 2011. Forward-looking statements are effective only as of the date they are made and Banner assumes no obligation to update information concerning its expectations. Thank you. 
Mark Grescovich: Thank you, Albert. As announced, Banner Corporation sustained our return to profitability again in the fourth quarter reporting a net profit available to common shareholders of $3.1 million or $0.18 per share for the period ended 12/31/2011. This compared to a net profit to common shareholders of $4.1 million or $0.24 per share for the third quarter of 2011.
 And a net loss of $14.6 million or a loss of $0.91 per share in the fourth quarter of 2010. For the full year ended December 31, 2011, Banner reported a loss available to common shareholders of $0.15 per share, compared to a loss of $7.21 per share for the full year of 2010.
 Looking at earnings before preferred stock dividends and discount accretion, Banner had a net income of $0.33 per share for the full year of 2011 compared to a net loss of $6.40 per share the same period of 2010.
 The fourth quarter performance provided consistent evidence and confirmed that through the hard work of our employees throughout the company, we are successfully executing on our strategies and priorities to strengthen our franchise and deliver sustainable profitability to Banner. And further that our strategic turnaround plan is effective and we are building shareholder value.
 Our operating performance again showed improvement on every metric when compared to the link quarter and compared to a year ago. Our 12 month core revenue increased 4% when compared to 2010.
 Our net interest margin expanded to 4.07% in the fourth quarter of 2011 compared to 3.75% in the fourth quarter of 2010. And our cost-to-deposits decreased to 59 basis points in the most recent quarter compared to 103 basis points in the same quarter of 2010.
 These improvements are reflective of our super-community bank strategy that is reducing our funding costs by remixing our deposits away from high priced CDs, growing new client relationships and improving our core funding position. To that point, our core deposits again increased in the most recent quarter, and increased 9.4%, compared to December 31, 2010. Also our net interest-bearing deposits increased 29%; our non-interest bearing deposits increased 29% from a year ago. It’s important to note that this is organic growth from our existing branch network.
 In a moment Lloyd Baker will discuss our operating performance in more detail. Clearly improving the risk profile of Banner and aggressively managing our troubled assets has been and will remain the primary focus of the company. We continue to show very good progress here as well.
 Our non-performing assets have been reduced nearly 22% compared to the third quarter of 2011 and 53% compared to December 31, 2010. Further, the most problematic part of the portfolio, our one-to-four-family residential construction lot land portfolio has reduced $80 million from the fourth quarter of 2010 and $830 million from the peak outstanding; that portfolio now stands at just 7.3% of total loans.
 In a few moments, Rick Barton, our Chief Credit Officer, will discuss the credit metrics of the company and provide some context around the loan portfolio along with our continued successful execution in aggressively managing our problem assets. Although we are making good progress reducing troubled assets, we recorded a still large $5 million provision for loan losses in the quarter.
 As a result, the coverage of our allowance to non-performing loans again increased, and is now a 110% at December 31, 2011, up substantially from the fourth quarter of 2010. Also for the quarter, we recorded $2.7 million of valuation adjustments on real estate owned.
 While credit costs remained elevated in the fourth quarter and above our long-term goal. Banner’s reserve levels are substantial and our capital position in liquidity remains strong. At the end of the quarter our ratio allowance for loan and lease losses to total loans was 2.52%, our total capital for risk-weighted assets ratio improved to 18.07%, our tangible common equity ratio improved to 9.54% and our loan to deposit ratio was 95%.
 In the quarter and throughout 2011, we continue to invest in our franchise. We have added additional commercial and retail banking talent to our company in all of our markets, and we’ve been recognized as the number one SBA 504 lender in the Seattle, Spokane district.
 Finally, our persistent focus on improving the risk profile of Banner that I just spoke to has significantly reduced our volume of classified assets. For many quarters now, the pipeline of loans leaving the bank by design has exceeded the production of new funded loan originations. In the fourth quarter we experienced some evidence that those flows might be balancing out, and then our investments to build new borrower relationships is having a positive effect.
 I’ll now turn the call over to Rick Barton, to discuss the trends in our loan portfolio and our credit metrics. Rick? 
Richard Barton: Thanks Mark. I would like to break my comments this morning into two parts. First, a recap of year-over-year credit metrics is in order, to highlight the progress made during 2011, and then, a look will be taken at some significant fourth quarter accomplishments. But before turning to these remarks, it would be remiss, not to again recognize the hard work and creativeness of our workout officers who have driven our success.
 Now let me turn to the year-over-year comparison of Banner’s credit metrics. Net charge-offs were down $20 million to $49 million and decreased each quarter during the year. Non-performing assets declined from $254 million to $119 million or 53%. Looked at differently, non-performing assets went from 5.77% to 2.79% of total assets.
 Non-performing loans decreased from $151 million to $75 million at December 31, 2011. This was a decrease of just over 50% during the year. This puts non-performing loans at 2.3% of total loans at the end of 2010, this ratio was 4.5%.
 REO also declined significantly during the year falling from a $101 million to $43 million, a decline of over 57%. REO sales for all of 2011 were $99 million, and at the time of sales our average net proceeds were 97.7% of book value. This performance again demonstrates our ability to not only liquidate REO assets, but also accurately value them.
 It should be noted here that accurately valuing REO comes at a cost, as our 2011 valuation adjustments were $15 million.
 During the year all categories of residential land loans decreased meaningfully and were $97 million at year-end versus $168 million at year-end 2010. This was a decrease of 42%.
 Residential construction loans also declined modestly during 2011, following $9 million to $144 million even though performing new loan commitments in this category totaled nearly $150 million and the quality of these residential portfolios improved during the year.
 Construction non-performing loans were just $7 million, while land non-performing loans were $19 million at year-end. Classified loans totals fell from $343 million to hook to $202 million, or a decline of 41%.
 Delinquent loans including non-performing loans decreased $95 million during the year to $85 million or 2.59% of total loans. At the end of 2010, delinquencies were 5.3% of total loans. And importantly, loans 30-89 days past due and on accrual were only $10 million or 0.3% of total loans outstanding.
 Now, allow me to make some comments specific to the fourth quarter. Because of the continued improvement of our credit metrics, we chose again not to match net charge-offs with ALLL provision. 
 Despite this, we feel the reserve continues to be a source of strength for the company. Our riskiest portfolios residential construction and land continue to shrink as already discussed. While our reserve for total loans did contract 25 basis points in the quarter to 2.52%, it is still strong from a historical perspective. Predictably, the coverage of non-performing loans continued to increase and stands at a 110%, up from a 104% last quarter and 64% at the end of 2010.
 And the unallocated portion of the reserve remains significant at $13.4 million. REO sales were strong during the quarter and totaled $28.3 million. These sales were essentially at par as the loss on sale was only $170,000. And significantly included in this activity was the sale of our two largest residential land assets totaling nearly $16 million. Both of these assets were located in South King County. The balance of the sales activity was spread throughout our geographic footprint and included a variety of property types. One of these transactions disposed of our largest commercial landholding. 
 Additionally, valuation adjustments of $2.7 million for the quarter were down significantly from the linked quarter $5.2 million and we’re at the lowest level since the quarter ended June 30, 2010. While non-performing loans did decrease in the quarter, the pace was slower than in the third quarter as new non-performing loan migration was up from $11.8 million to $14.6 million quarter-over-quarter. 
 However, migration during the quarter was still well below first and second quarter levels, and was a result of further deterioration of problem loans identified during previous portfolio reviews, not new problem loans.
 During the quarter, our annual regulatory examination was conducted. We do not yet have a final report of examination, but the preliminary findings we were given have been reflected in our year-end credit metrics.
 We are delighted with the progress we are making in problem asset resolution and to have the opportunity to spend more time on growing the portfolio with new quality loans. However, we still realize much hard work will be needed to normalize our credit metrics and that the pace of economic recovery and the competitive environment will be mutual factors at best for the next several quarters.
 With that, I’ll turn the stage over to Lloyd for his comments. 
Lloyd Baker: Thank you Rick, and good morning everyone. As reported in our press release, Banner Corporation’s improved operating results for the fourth quarter and the year ended December 31, 2012 capped the year of significant progress, highlighted by much improved credit quality, strong revenue generation, and importantly net income. This is the progress that our employees should be proud of, our shareholders should appreciate and that we believe it should result sustained profitability going forward.
 Rick has already addressed the improved credit quality metrics thoroughly, so I will just note the obvious. The significant reduction in non-performing loans in real estate owned are having a very positive impact on reported earnings
 For Banner this trend of improving credit quality, which has been consistently unfolding over the course of the past two years has not only resulted in lower levels of loan loss provisioning and expenses related to real estate owned. But has also significantly contributed to our improved net interest margin is the drag from these non-accruing assets has been substantially reduced. 
 The provision for loan loss for the fourth quarter matched the $5 million we reported in the third quarter, but it was well below the amounts reported earlier this year and in the fourth quarter a year ago.
 More importantly reflecting the reduction in problem loans, our provision for loan losses for the full year ended December 31, 2011, was half the level recorded in 2010. In addition, our expenses related to real estate owned, although still high, were materially reduced in the fourth quarter and on a year-to-date basis. While these credit costs remained above long-term acceptable levels we expect this trend of improved asset quality will continue and will result further reductions in credit cost in future periods.
 On our last call I noted that the third quarter of 2011 represented a record quarter for Banner with respect to generating revenues from core operations. The trend of strong revenue generation that I highlighted at that time and that we’ve been commenting on throughout this year continued over the current quarter. As a result, the fourth quarter of 2011 again reflected a new level, new record level of revenues from core operations for Banner.
 For the quarter ended December 31, 2011 our revenues from core operations, which includes net interest income before provision for loan losses plus other non-interest operating income that excludes fair value and other than temporary impairment adjustments was $50.5 million, a modest increase over the preceding quarter of $1.5 million or 3% greater than the fourth quarter a year ago. For the full year ended December 31, our revenues from core operations were $196.2 million, which as Mark noted, is a 4% increase compared to the year ended December 31, 2010, and was also a new record.
 The continuing trend of year-over-year increases in core-revenues that we’ve been reporting has been driven by significant improvement in our net interest margin and resulting net interest income as well as solid deposit fee revenues fueled by growth in core deposit accounts. For the fourth quarter of 2011, Banner’s net interest income was $41.5 million, which although slightly lower than the immediately preceding quarter was 2% greater than the fourth quarter of 2010.
 You will recall that our net interest income in the third quarter was augmented by the collection of $881,000 of delinquent interest on a trust preferred security that had previously been in deferral. Considering that one-time event and the continuing assault on assets yields from the low rate environment, our net interest income for the fourth quarter was remarkably strong by comparison.
 For the full year ended December 31, 2011, net interest income increased to $164.6 million, which was an increase of just over 4% compared to a year earlier. Our net interest margin was 4.07% in the fourth quarter of 2011, nearly unchanged from the preceding quarter with 26 basis points stronger than the fourth quarter a year ago.
 For the year 2011, our net interest margin was 4.05%, an increase of 38 basis points compared to the year 2010. This margin improvement largely reflects continuing reductions in our funding costs, more specifically in our deposit costs, and as I previously noted, a significant reduction in the adverse effect of non-performing assets.
 Deposit costs decreased by another 11 basis points during the fourth quarter and were 44 basis points lower than a year ago, reflecting further changes to the deposit mix as well as additional downward pricing on maturing certificate of deposits and on transaction and savings accounts. For the year ended December 31, 2011, our costs decreased by 64 basis points dramatically contributing to our improved margin and increased net interest income.
 We’ve noted repeatedly on previous calls, Banner Corporation’s growth of core deposits in reduced deposits cost have been fundamental to our improving operating trend. As a result of the growth in these transaction and savings accounts, and planned reductions in high-cost certificate deposits, core deposits now totaled 64% of total deposits.
 Importantly, we’re not just adding balances, but instead continue to see solid growth in the number of accounts and customer relationships. However for 2011, we also had exceptional growth in non-interest-bearing account balances, which in addition to account growth reflects significant average balance increases for many of our business customers. As I noted last quarter, this is a trend which we’re paying close attention, but seems to be consistent with the strengthening balance sheets that many businesses are reporting on a national basis, and that we’re observing in our ongoing credit reviews. The very low interest rate environment have continued to put downward pressure on asset yields, which is particularly evidenced in the performance of our securities portfolio.
 Fortunately in the fourth quarter, our loan yields and net interest margin further benefited from the declining level of non-accruing loans that has offset some of this pressure. Loan yields were 5.3% in the fourth quarter, which was unchanged from the third quarter, but it was 14 basis points lower than the fourth quarter of 2010. The adverse margin impact of non-accruing loans decreased to 14 basis points in the current quarter, compared to 21 basis points in the preceding quarter and 33 basis points in the fourth quarter a year ago.
 For the full year ended December 31, loan yields declined by just 11 basis points as the positive effect of fewer non-accruing loans offset much of the impact of the low level of market interest rates.
 Going forward, further reductions in the drag from non-accruing loans and other non-earning assets will be critical for us to maintain our improved net interest margin. As yields on performing asset should continue to decline in the current interest rate environment and we will have less opportunity to reduce funding costs.
 Loan balances increased by $74 million in the fourth quarter, primarily as a result of growth in commercial real estate, commercial and agricultural business loans. This was an encouraging confirmation of what we noted in last quarter concerning the calling efforts of our bankers and their production of targeted loans. However, demand for new loans particularly consumer loans remain modest and line utilizations for commercial business loans remained low.
 While the calling efforts and responsiveness of our bankers are resulting in a consistent pipeline of lending opportunities. We expect some seasonal reductions in agriculture loan balances in the quarter, and further reduction in land loan balances overtime.
 In addition to the positive effect on our net interest margin, the other important aspect of continuing growth in core deposit accounts has been the impact on deposit fees. As we have discussed before, for the first half of 2011, the positive impact of that growth is somewhat masked by the decline in overdraft revenues, subsequent to changes in the regulatory guidelines in summer of 2010. Those changes, which had not been implemented in the first half of last year, had a dampening effect on deposit fees, which is reflected in the year-to-date comparison.
 However for Banner, the reduction in this source of revenue has been offset by an increase in the number of accounts as well as increased interchanged revenues from higher customer usage of debit and credit cards. As a result, for the full year 2011, total deposit fees and service charges increased by 4% compared to the same period a year ago despite the marked reduction in overdraft revenues. And for the fourth quarter of 2011, deposit fees and service charges were nearly 7% greater in the same quarter a year ago.
 Revenue from mortgage banking activities picked up in the fourth quarter, increasing to $1.9 million, compared to $1.4 million in the third quarter. Although, they were slightly below the fourth quarter of 2010.
 Mortgage banking revenues for the year ended December 31, 2011 were $5.2 million, compared to $6.4 million in 2010. However, the very low mortgage rates currently available in the market have caused the application activity to remain high, which likely will positively impact at least the first quarter of 2012
 Similar to recent periods and for the fourth quarter controllable operating expenses in aggregate were only modestly changed from the preceding quarter and the same quarter last year. The increases in compensation expense and advertising cost were partially offset by decreased information processing expenses and cost for professional services.
 Expenses related to real estate owned was still high, declined reflecting the reduced number of properties and fewer valuation adjustments. Although we expect these real estate owned expenses and other related credit costs to remain elevated for a few more quarters, we do expect that they will decrease substantially over time as additional problem asset resolution occurs.
 Fair value adjustments for the fourth quarter resulted in a net charge of $1.8 million compared to a net charge of $1 million in the preceding quarter. However, the preceding quarter also included a $3 million recovery as a result of the full cash repayment of a security that had been written off as an other-than-temporary impairment charge in the third quarter of 2010.
 Finally, as Mark noted the capital base of the company and the subsidiary banks remain substantial. At December 31, 2011 Banner Corporation’s ratio of tangible common equity of tangible assets increased to 9.54%, its total risk based capital ratio was 18.07% and its Tier 1 leverage capital ratio was 13.44%.
 Further, although we made no additional capital contributions to Banner Bank for the quarter or during the past year, this capital base also increased from the prior quarter. As a result, at December 31, 2011 Banner Bank's total risk based capital ratio was 15.81% and its total Tier 1 leverage capital ratio was 11.71%, which of course continues to be well in excess of the level targeted in our agreement with the FDIC. While this strong capital position is prudent in the current uncertain economic environment, it is significantly above the current regulatory guidelines and also well above the level that most observers expect will be reflected in future guidelines.
 To reiterate a point I made on our last call, if the current regulatory guidelines for leverage capital ratio necessary to be considered well-capitalized were to be doubled to 10%, Banner Corporation would currently exceed the required capital amount by approximately $148 million. Obviously, this strong capital position will provide Banner considerable flexibility with regard to capital management as we move forward.
 So with that final thought, I will turn the call back to Mark. As always, I look forward to your questions. 
Mark Grescovich: Thank you Lloyd and thank you Rick for your comments. That concludes our prepared remarks, and Douglas, we will now open the call and we welcome your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Jeff Rulis with DA Davidson. Please go ahead. 
Jeffrey Rulis: A couple housekeeping items, Lloyd, I’m sorry I have to ask. I guess on the, just a follow-up on the capital surplus comment you made, I guess that $148 million surplus above the 10% level, that’s just within the holding company, correct? 
Lloyd Baker: That’s correct. That’s a consolidated number. 
Jeffrey Rulis: Okay. And then any update on the size of the net benefit of the DTA recovery potential? I think you had, you’ve couch it as $11 million to $13 million last quarter, but… 
Lloyd Baker: Yes, it hasn’t changed. A great deal of depth is the profitability in the current quarter I think the DTA at the end of September was about $37 million of the allowance but the profitability in the current quarter reduces that by a couple million dollars, so there is $35 million there, and you’re right. I’ve been consistent in cautioning people to recall that the fair value adjustment on the junior subordinated debentures that will likely to occur at the same time, as the DTA recovery will offset in meaningful portion of that.
 I think the net of all that right now and my best guess would be $12 million to $15 million, positive when those adjustments occur. And I guess the other point that I would make is obviously, that we get closer and closer to that date as we continue to report profitability and improved asset quality on numbers. 
Jeffrey Rulis: Okay, that’s helpful. And Mark, I guess you kind of touched on, kind of loan growth expectations or maybe you alluded to them, I guess with Q4 being an inflection point and maybe inconsistent going forward perhaps, I guess any further color on your expectations for maybe net loan growth for 2012? 
Mark Grescovich: Obviously, we’re not giving guidance on net loan growth for the full year, but I think the more important way to look at it for us is the fourth quarter was an inflection point for us. Our pipelines continue to be strong. Our commercial loan production was up 33% in 2011 versus 2010. So I would expect a modest growth in the loan book and again it will be a little lumpy, as Lloyd pointed out, because there is some seasonality clearly in our portfolio with the agricultural portfolio. 
Operator: Our next question comes from the line of Tim Coffey with FIG Partners. 
Timothy Coffey: I got a couple of questions on credit costs, first on the provision. How much of that was allocated for the new loan growth in the quarter? 
Lloyd Baker: Tim, I think your question was how much was allocated for new loan growth during the quarter? 
Timothy Coffey: Yes, and the provision... 
Lloyd Baker: Is that correct? 
Timothy Coffey: Yes. 
Mark Grescovich: I think a minor portion of it was-- could be considered allocated to new loan growth as that did occur. 
Lloyd Baker: It’s a very nominal number, Tim. 
Timothy Coffey: Okay, okay. And then Rick, taking your comments in aggregate, what is your feeling about the valuation adjustments going forward on REO, is it’s a new run rate? 
Richard Barton: I think we have to look at how long some of the stuff has been subject to reappraisal both in the loan and the REO state and consider that the $2.7 million that we took in the fourth quarter probably as a high point, I don’t know exactly how to phrase that, but you take a look at the relative size of the REO portfolio to what it has been and it’s significantly decreased. And the land portion of the REO portfolio was now less than half of what remains in REO portfolio. So the remaining valuation risk there I believe has decreased. 
Timothy Coffey: Okay, okay that’s helpful. And then, Mark, where were some of the yields on the investor commercial real estate loans that you book? What were the yields on those? 
Mark Grescovich: Well, clearly the yields on that have come in because it is a much more competitive environment. So our loan, overall loan yield at 553 has come in on new production. So you would see new loan production anywhere in between 4.25 and 5. 
Timothy Coffey: Okay. And Lloyd, can you give me some details on the fair valuation adjustment? What types of securities those were on? And how the fair value transpired? 
Lloyd Baker: Sure, well the fair value adjustment for the quarter was, as you know, was about $1.8 million and about $1.1 million, $1.2 million of that related to the valuation of our subordinated debt, which increased by that amount primarily as a result of the increase in three month LIBOR rates.
 We didn’t adjust the spreads in our discounting process, but LIBOR moved up. So that combined with the small effect of getting to, 90 days closer to final maturity, both impacted that.
 There was a little bit of offset to that in the asset side on as a result of the trust preferred securities that we have that have similar characteristic, but they are far fewer of those as you know. And the balance of it just related to interest rate impact on non-subordinated type of securities. 
Timothy Coffey: Okay, but again... 
Lloyd Baker: Primarily two thirds of that adjustment for the quarter reflects the change in the value of the debt. 
Timothy Coffey: Okay. But when you talk about the value of the debt, you didn’t adjust the discount rate. 
Lloyd Baker: We did not, other than the impact of three month LIBOR, we didn’t adjust the spread.
 Three months LIBOR was up about 25, 30 basis points for the quarter. 
Timothy Coffey: Okay. And in terms of recognizing the valuation loss from the DTA, are you still thinking four quarters of profitability is appropriate? 
Lloyd Baker: Well I think I’ve been pretty consistent in hedging that question consistently with the idea that it is a function of profitability, asset quality, the nature of the profit, sustainability, all of that stuff. Having said that, I will be very disappointed if it doesn’t occur sometime in 2012, that’s as narrow as I’m going-- that’s as for out on the limb as I will go right now, Tim. 
Operator: [Operator Instructions] Our next question comes from the line of Joe Stieven with Stieven Capital Advisors. 
Mark Grescovich: Hi, Joe. 
Operator: Mr. Stieven, your line is open for questions.
 Our next question comes from the line of Sara Hasan with McAdams Wright Ragen. 
Sara Hasan: I’m wondering if you could talk about your TARP repayment plan and your thoughts on that. 
Mark Grescovich: Yes Sara, this is Mark. I think we’ve been pretty clear and quite frankly consistent in our approach here. What we outlined 18 months ago was that we were going to improve the capitalization and liquidity of the company. We are going to reduce the risk, dramatically reduce the risk in our balance sheet. We needed to improve our core earnings power of the company, and finally then get the MOU terminated.
 Clearly, we’ve made great progress in all those areas. And as you progress as an organization being successful with that approach that should allow us as an organization to repay TARP overtime through earnings generation and capital accretion in the company. So we still believe that’s to be the case.
 We’re exploring various alternatives, and if something presents itself that is beneficial of the shareholders, we will look to do that. But right now our interpretation is that we still believe our original plan of repayment of TARP overtime is still effective. 
Operator: Our next question comes from the line of Jim Simmons with ICM Asset Management. 
James Simmons: As you evolve from essentially a perspective for investors in looking mostly at balance sheet quality and strength of the company, to one where you put that, it almost and totally past context, now the questions are shifting over to future growth directions.
 Can you give us and you did a pretty good job of commercial loan generation in the last quarter from what I heard, but could you give us a little more sense of how you see the read of the growth potential at this point? What’s bottoming out in terms of real estate? And just kind of a general backdrop in terms of what you hope to see in your banking region as we go forward in terms of how it’s going to bear on our future earnings growth? 
Mark Grescovich: Jim, this is Mark. I think, first of all, I thank you for the questions, it’s an excellent one. And obviously with the conditions that are occurring and with the general economy, the reduced confidence in the business environment in terms of clarity of where the economy is going, it has provided a cloud. So that being the backdrop, more importantly for our region, which is the Pacific Northwest, I think we need to take into consideration a couple of different things. First and foremost, if you look obviously at the drivers of our economy, you have Boeing, which is doing very well and has significant backorder, should take it out over seven years. They’ve renegotiated the labor contract. So there is employment add there along with stability in their performance.
 We have the agricultural belt, which has done very well through this cycle and is continuing to do well, and has added for significant improvement in shipments coming out of the port, which is a very big business for the Pacific Northwest, so the ports are doing well. You have the technology companies, Microsoft and Amazon that are doing well also and if just Microsoft, the Merit increase that they push through, through their entire organization. The latest statistic I heard from the economic development area was that should add somewhere around $400 million to the local economies.
 So there is a number of positive factors of our geography here that are doing well versus other parts of the United States. So I would tend to think that as the economy continues to mend and there becomes more clarity as to the political policy going forward, that our economy will do very well in terms of growth. So I view this area as very positive, we’re still outstripping the national numbers in terms of per capita income. And while the housing market is still strained, and we’re seeing pockets of valuation diminution in various areas, the pace of that valuation diminution is just reducing dramatically. So, I view the next slow growth economy for our area, but we have some things that are a little bit more positive in the other parts of the country. 
Operator: Your next question is a follow-up from the line of Joe Stieven. 
Joseph Stieven: I don’t know if you answered this or not, but I got a couple of questions. Number one, when you look at your other expenses, the real estate, “real estate operations” at $4.4 million? I am assuming that’s mainly, is that mainly foreclosed real estate expenses or is there, or am I miss construing that number? 
Mark Grescovich: No, that’s all related to foreclosed real estate, Joe. 
Joseph Stieven: So in theory as you guys keep doing better and better those numbers got to come down. Okay, that’s question number one. Question number two is, we’re watching banks especially more and more bringing their DTAs back on pretty after four quarters give or take, and I would, because obviously you guys paid no taxes, so I am assuming sometime soon you’d be paying taxes, but you should have the DTA back on relatively soon, it’s probably a fair way. So I don’t know if you’ve commented about that, but that’s sort of my question. 
Lloyd Baker: Yes Joe, this is Lloyd. I tap danced around that one quite a bit, but summing it up, we think that sometime in 2012 that event will occur and it’s a function of profitability in asset quality and all the things that will allow you to get to the conclusion that you have an reasonable expectation of realizing that. 
Operator: Thank you. And now there are no further questions in queue. I would like to turn the call back over to Mr. Grescovich for closing remarks. 
Mark Grescovich: Great. Thanks, Douglas. For the full year 2011, our performance demonstrated that we are making substantial and sustainable progress on our disciplined strategic plan to strengthen Banner by achieving a moderate risk profile and at the same time executing on our super-community bank model by growing market share and improving our core operating performance. While we’re pleased with our results for 2011, we still have quite a bit of work to do and we remain focused at delivering improved results in 2012.
 Thank you for your interest in Banner and for joining our call today. We look forward to reporting our results to you again in the future. Have a great day everyone. 
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. If you like to listen to our replay of today’s conference, please dial (303) 590-3030 or (800) 406-7325 and enter the access code 4503316. We would like to thank you for your participation and you may now disconnect.